Operator: Good morning ladies and gentlemen, and welcome to the Dundee Precious Metals First Quarter Results Conference and Webcast Call. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] This call is being recorded on Thursday, May 6, 2021. I would now like to turn the conference over to Ms. Jennifer Cameron. Please go ahead.
Jennifer Cameron: Thank you and good morning. I'm Jennifer Cameron, Director, Investor Relations, and I'd like to welcome you to Dundee Precious Metals first quarter conference call. Joining us today are David Rae, President and CEO; Hume Kyle, Chief Financial Officer; and Michael Dorfman, Executive Vice President Corporate Development. After the close of business yesterday, we released our first quarter results and I hope you've had an opportunity to review our material. All forward-looking information provided during this call is subject to the forward-looking qualification, which is detailed in our news release and incorporated in full for the purposes of today's call. Certain financial measures referred to during this call are not measures recognized under IFRS and are referred to as non-GAAP measures. These measures have no standardized meaning under IFRS and may not be comparable to similar measures presented by other companies. The definitions established and calculations performed by DPM are based on management's reasonable judgment and are consistently applied. These measures are intended to provide additional information and should not be considered in isolation or as a substitute for measures prepared in accordance with IFRS. Please refer to the non-GAAP financial measures section of our most recent MD&A for reconciliations of these non-GAAP measures. Please note that unless otherwise stated, operational and financial information communicated during this call have generally been rounded. References to 2020 pertain to the comparable periods in 2021 and references to averages are based on a midpoint of our outlook or guidance. I will now turn the call over to Dave.
David Rae: Good morning and thank you all for joining us. As you've seen from our news release circulated last night, the first quarter of 2021 was a solid start to the year, as we continue to generate significant free cash flow driven by strong gold production and impressive costs. Highlights from our first quarter include: solid production of 70,000 ounces of gold and 7.2 million pounds of copper; excellent all-in sustaining cost performance of $522 per ounce of gold; continued strong free cash flow generation of $51 million for the quarter. With a higher quarterly production forecast for the balance of the year, our mining operations are on track to achieve the 2021 guidance and we expect our all-in sustaining cost to be at the lower end of the guidance range. We're also expecting stronger performance at the smelter for the remainder of the year following the completion of the planned maintenance shutdown during Q1. We continue to build our financial strength exiting the quarter with a cash balance of $176 million. Earlier this week, we also announced the closing of the sale of MineRP generating cash proceeds of $41 million. We continue to retain upside from the sale of MineRP through potential earn-out payments payable on the achievement of certain revenue targets in 2021 and 2022. Turning now to the highlights of our operations. I'll start with Ada Tepe. Since Ada Tepe reached full capacity in Q3 of 2019, the mine has established a track record of impressive performance, which continued in the first quarter as the mine delivered a new record for quarterly production of over 33 ounces of gold -- 33,000 ounces of gold ahead of our expectations. Ada Tepe also achieved strong cost performance during the quarter with cash cost of $43 per tonne of ore processed and all-in sustaining costs of $450 an ounce, which highlighted significant potential to drive free cash flow generation in our portfolio. We are continuing our exploration efforts around Ada Tepe with 23,000 meters of drilling planned for 2021 including 9,000 meters for additional resource and conceptual target extension on the mine concession, as well as advancing the Chatal Kaya and other prospects on regional licenses. In Q1, drilling activities continued at Surnak, Synap, Kuklitsa prospects, which are located approximately three kilometers southwest of the mine. At Surnak drilling is close to completion with modeling planned for the second quarter. Additional drilling is also planned at Synap and Kuklitsa in Q2 and we expect to commence target generation and scout drilling on our other licenses. At Chelopech, we produced 36,900 ounces of gold and 7.2 million pounds of copper. This performance in the first quarter was slightly lower than the forecast due to lower copper grades as well as lower copper and gold recovery performance with certain ore blends. However, cost performance continues to be strong with first quarter cash cost of $41 per tonne of ore processed and all-in sustaining cost of $589 per gold ounce both of which are at or below the low end of Chelopech's 2021 guidance range. I'm pleased to say that since the end of the quarter Chelopech's performance has been trending better and the mine continues to be on track to achieve its 2021 guidance. At the end of March we're pleased to announce an updated mineral reserve and resource estimate for Chelopech, which reflected a net increase to mineral reserves and mineral resources as well as a two-year mine life extension for Chelopech. We continue to focus on extending the mine life to our in-mine and brownfield's exploration program with an intensive program planned for 2021, which includes approximately 38,000 meters of brownfield's exploration in addition to the normal 44,000 meters of in-mine drilling that we conduct annually. In January, a geological discovery certificate was issued by the Bulgarian Ministry of Energy, which is a significant milestone for the advancement of the Sveta Petka exploration license. Following completion of the formalities on the commercial discovery work plan, we plan to commence drilling and engineering work to progress the geological discovery to a commercial discovery, which is anticipated to take approximately one year. Following an environmental impact assessment, we would be aiming to convert the license into a mining concession. In the interim, we've commenced drilling on the Brevene exploration license, which immediately surrounds the Sveta Petka license. We are testing more conceptual targets within the surrounding Brevene exploration license, which includes a significant evaluation drilling campaign Vozdol, Sharlo Dere Bridge and Kazana. With mineral reserves that now extend to 2029 and an updated mineral resource base and increase in mine and brownfield exploration drilling, we believe there's a strong potential to continue our track record of mine life extensions at Chelopech. Turning to Tsumeb. Complex concentrate smelted was expected to be lower in the first quarter compared to the remainder of the year, primarily due to the scheduled Ausmelt furnace shutdown. This was originally planned for 30 days. However, this timeline was extended to 45 days reflecting COVID-19-related safety protocols, travel restrictions and the use of remote commissioning support, as well as an increase in the scope of the Ausmelt lining replacement and additional converter maintenance. As a result of that maintenance shutdown the smelter processed approximately 23,000 tonnes of complex concentrate during the first quarter. Q1 cash costs reflected that lower production at $967 per tonne and that's partially volume and it's – that's also a very good indication of the high fixed cost nature of that facility. As previously disclosed in April, we've revisited Tsumeb's guidance and now expect to process approximately 200,000 to 220,000 tonnes of complex concentrate. With the maintenance successfully completed during the quarter and the return to full operations at the end of March, we expect stronger smelter performance for the balance of the year. In terms of our future growth, we continue to advance our Timok project in Serbia. During the quarter, we announced a positive pre-feasibility study and have advanced the project to a feasibility study, which we expect to complete in the first quarter of 2022. We also released encouraging exploration results, where drilling has continued on shallow oxide targets and follow-up on high-grade sulfide mineralization just south of the existing reserves. During the second quarter of 2021, drilling activities will continue to support the completion of target delineation and infill drilling in support of the mining concession application. We also continue to pursue our growth strategy by evaluating additional opportunities that have the potential to generate strong returns and enhance the value of the company. Overall, our strong gold production profile and free cash flow generation combined with our unique skills in innovation and building strong partnerships with local communities, position us well to continue delivering value for our shareholders. We continue to demonstrate the potential of our portfolio to generate significant free cash flow and we are committed to deploying this capital in a disciplined manner. We firmly believe that DPM's strong fundamentals continue to represent a compelling value opportunity for investors. And with that, I'll now turn the call over to Hume for a review of our financial results and comment on our 2021 guidance and three-year outlook, following which we will open the call to questions.
Hume Kyle: Thanks, Dave. Good morning, everybody. With the closing of MineRP earlier this week, my comments today will focus entirely on results from continuing operations. As Dave noted our mining operations performed well and supported strong free cash flow generation in Q1. For the quarter, adjusted net earnings were $31 million or $0.17 per share, representing a decrease of $0.10 compared with 2020. And adjusted EBITDA was $66 million, down $15 million relative to the prior year. These decreases are primarily attributable to the planned furnace maintenance completed during the first quarter, which was extended by 15 days and contributed to lower-than-expected results from Tsumeb. This was partially offset by solid results from our mining operations that benefited from a 15% increase in realized gold prices and a 47% increase in realized copper prices relative to 2020. Reported earnings were lower than adjusted earnings due to mark-to-market losses on our Sabina special warrants, as well as the reversal of previously recognized loss carryforwards, as a result of mark-to-market losses during the quarter in respect of our share ownership position in Sabina, which are recognized in other comprehensive income. Each of these items are not reflective of underlying operating performance and are removed from adjusted earnings. From a cash flow perspective cash flow from operations in Q1 was $48 million, compared to $11 million in 2020, due primarily to a favorable period-over-period change related to working capital, all of which is timing related and the fulfillment of the prepaid forward gold sales agreement in December 2020, as well as the same factors that impacted the period-over-period changes in adjusted earnings. Q1 funds from operations, which is before changes in working capital and therefore more reflective of underlying cash flow generation was $63 million compared to $58 million in 2020. Free cash flow for the quarter of $51 million was comparable to 2020, reflecting the same factors impacting funds from operations, as well as higher cash outlays for sustaining capital related to the maintenance shutdown in Tsumeb and the accelerated grade control drilling program at Ada Tepe. Turning to our consolidated cost measures. We achieved excellent results in terms of the all-in sustaining cost measure, which was $522 per ounce for the first quarter. This is below the low end of our annual guidance and represents a 12% decrease compared to the same period in 2020, due to lower treatment charges, primarily related to Chelopech, as a result of increased deliveries to third-party smelters and lower concentrate tonnes shipped, as well as higher copper byproduct credits. This was partially offset by the impact of a stronger euro relative to the US dollar, higher allocated G&A expenses and higher cash outlays for sustaining capital, reflecting accelerated grade control drilling at Ada Tepe. At Tsumeb, cash cost per tonne was $967 in the quarter, up $610 compared to 2020 and this increase reflects the low level of throughput in Q1, resulting from the maintenance shutdown and the fixed cost nature of the facility. From a capital expenditure standpoint, total capital expenditures incurred in the quarter were $19 million compared to $10 million in 2020 with sustaining capital representing $17 million, up $10 million from 2020, reflecting the maintenance shutdown at Tsumeb and the accelerated grade control drilling at Ada Tepe. Growth capital spending represented $2 million, down $1 million from 2020. In terms of our balance sheet, we continue to increase our financial strength during the quarter with available cash resources aggregating $326 million at period end with cash representing $176 million and $150 million revolver -- or $150 million of capacity under revolving credit facility. With the recent sale of MineRP, this added $41 million to our cash position. We also have a liquid portfolio providing additional upside potential comprised, primarily of an 8.9% interest in Sabina, a 23.5% interest in INV and an 8.5% interest in Velocity, which in aggregate have a value of approximately $68 million. From a risk management perspective, all of our key financial metrics and underlying financial exposures are well within established tolerance levels. And based on our current hedge possessions -- positions sorry approximately 85% of Tsumeb's projected operating costs for the balance of 2021 have been hedged using zero cost collars locking in a weighted average floor and ceiling exchange rate of $15.67 and $18.52 respectively. And approximately 90% of our copper for the balance of 2021 has been hedged at a weighted average fixed price of $3.68 per pound. Each of these hedges serves to reduce the variability of our reported cost measures for 2021. Looking forward, we continue to focus on increasing the profitability of our business by optimizing existing operating assets which are expected to maintain higher levels of gold production in a declining all-in sustaining costs as highlighted in our three year outlook and more detailed 2021 guidance. With higher quarterly production expected over the balance of the year, we remain on track to meet our previously issued 2021 guidance for Ada Tepe and Chelopech as well as the updated guidance for Tsumeb, we communicated as part of our preliminary Q1 production results in April. More specifically for 2021, we expect to produce between 271,000 and 317,000 ounces of gold and 34 million to 39 million pounds of copper. We expect our consolidated all-in sustaining costs to be at the lower end of the guidance range of $625 to $695 per ounce and we expect Tsumeb throughput to be between 200,000 and 220,000 ounce -- sorry tonnes with a cash cost per tonne of $450 to $520 which is unchanged from our prior guidance as a result of higher asset prices which offset the majority of the impact from lower volumes. Our longer-term outlook issued in February which covers both 2022 and 2023 remains unchanged and can be found in the three year outlook section of our MD&A. Looking forward, we are committed to continuing to deliver strong returns to our shareholders and are focused on advancing a number of potential value-generating catalysts in 2021. With a strong financial position a solid three year outlook and the potential to continue to generate significant additional free cash flow, we are in great shape to optimize and grow the business which we intend to do in a disciplined manner consistent with our capital allocation framework and as such expect to continue growing our cash position to support prudent investments and high-return growth opportunities and returning a portion of our free cash flow generation to our shareholders by way of a regular quarterly sustainable dividend, which currently sits at $0.03 per share representing approximately 13% of our Q1 2021 free cash flow. With that, I will turn the call back over to the operator for Q&A.
Operator: Thank you. [Operator Instructions] Your first question comes from Trevor Turnbull with Scotiabank. Trevor, please go ahead.
Trevor Turnbull: Yeah. Thank you. David, I had a couple of questions I guess related to Tsumeb, but not with respect to the maintenance that's obviously behind you. But looking forward, I know that some of the Chelopech concentrates have been going to other third-party facilities. And I just wondered if you could talk a little bit about what that means for Tsumeb's revenue and also for its cost per tonne, if that impacts the guidance at all, or just how we should think about Chelopech, not necessarily always going to Tsumeb?
David Rae: Thanks, Trevor. Yeah, I'll start and I'll let Hume continue. So as you know, Tsumeb is a facility that is primarily set up to handle high arsenic concentrates and there are different versions of that, particularly in terms of the amount of precious metals that are associated. In this particular case, our Chelopech concentrates at about one ounce per tonne gold. There is interest in other facilities treating that material at terms which are beneficial to DPM overall. So that drives the consideration of the treatment of that material. So obviously, we want to make sure that we are optimizing that for the organization. So what will happen is, if we have sufficient concentrates from elsewhere to fill the smelter then basically all of Chelopech can go elsewhere. Now we do need to caution that, the reason why we purchased the smelter is to make sure we have a home for our concentrate, so that's always in the back of our minds. But our preference would be as long as there are other materials to fill that smelter then what we would do is we would divert elsewhere. And the main difference is that we have a contract which is on a cost-plus arrangement for Chelopech which means that the terms that the smelter receives from Chelopech treatment relative to other concentrates is higher. Maybe at that point what I'll do is I'll ask Hume to add any other commentary.
Hume Kyle: Yeah, sure. Yeah. So as Dave said, to the extent that we can displace some of the Chelopech concentrate. And rather than sending it to Tsumeb we send it elsewhere. We will do that. Historically, this is something that we've been able to do. I think as we've sort of said over the years, we expect increasing volumes of complex concentrate to come into the market and actually provide an opportunity to either expand the facility which is still something that we're looking at and it's quite possible or alternatively bring it in on a spot basis and move the Chelopech material elsewhere, which has greater ability to go into other markets than some of the other complex concentrate that's in the market. So that is something that we are seeing in 2021 and over the next few years. It has been reflected in the guidance that we provided for both Chelopech in terms of its all-in sustaining cost as well as Tsumeb on an overall basis. And, yes, that's one of the key reasons I would say that we have lower all-in sustaining costs year-over-year is a because of the increase in volume that we've moved to third-party smelters as well as the higher byproduct credits coming from the higher copper prices.
Trevor Turnbull: Okay. And I would assume with the higher copper prices that we've been seeing that the complex concentrate market is -- I would assume is fairly robust that people are providing plenty of feed for Tsumeb?
Hume Kyle: Well, I guess, what I would say is in the short-term, it doesn't really change the short-term market at all. And we're contracted essentially to the end of 2023. But what it can impact is maybe with existing mines the proportion of copper that's actually produced because they have options as well as projects that are in the pipeline and basically making the decision to proceed with the project. And making that decision to proceed with the project they would want to ensure that they have an offtake for that complex concentrate recognizing that the -- that their concentrate that they're producing is way in excess of the limit. So that's a factor. The other thing Trevor that I would say that you asked about is Tsumeb profitability. So it's -- what we've said in the past is from a Tsumeb perspective. We anticipate that we can generate positive free cash flow out of the smelter not significant, but positive in the context of supporting the overall strategy of ensuring that Chelopech has a home for its concentrate. To the extent that we move material away from Tsumeb and diverted elsewhere and bring in other concentrate it can have a negative impact on Tsumeb. But as you're observing through Chelopech it has a very positive impact on Chelopech and has a net overall positive impact to DPM. And as you may recall we took that write-off in 2019. That was exactly the reason why we did it is reflecting the increase diversion of materials that we were foreseeing in the marketplace. 
Trevor Turnbull: Right. And then a question that we get fairly often is with higher copper prices how can we think about -- is there additional leverage to the copper price that you realized through Tsumeb with higher copper prices? Do you actually capture a bit of that upside in the commodity through Tsumeb?
David Rae: Maybe I can answer that one. So the smelter unlike many is not a metal game facility. Many smelters in combinations with refineries have a 1% or 2% copper gain as a -- as what they end up receiving in terms of value relative to the payable to the shipper. We don't have that at Tsumeb. It's pretty much a breakeven facility on that so it's really down to the toll treatment that we get. So the leverage to the copper price is minimal to the smelter. It's more in terms of the availability of concentrates. 
Trevor Turnbull: Okay. Great. And then just two very -- two short other quick follow-ups. One looking at the asset prices that those prices have really changed recently what's the driver there? I thought that was used potentially for a little bit on the copper belt and also in the uranium industry. Are those just not what they used to be in terms of demand?
David Rae: Go ahead Hume. 
Hume Kyle: Yes. Frankly, it's just been -- as you as we've all seen really in the global markets for all commodities it was really impacted last year by COVID prices so -- the COVID pandemic. And so prices for all commodities including asset went down massively. And in fact we're basically providing negative returns to people like ourselves that might sell the product globally. And that global market has changed dramatically -- probably starting in Q4 right through to today. So we just saw a complete drop and then a complete reversal. So prices are down from the levels that previously existed in recent times but they're certainly up from the levels of zero to negative returns that we saw in 2020. 
Trevor Turnbull: I think in your guidance at one point you talked about $74 a ton. Is that still probably a good number to use? 
Hume Kyle: Well, that's the number that we've put it to now. So under the -- we basically sell some material spot and some material under a structured contract with a local party. So there's sort of a floor price with a cap. So taking into account the spot prices as well as that arrangement the new price that we're forecasting is $74 and that's up about $35 from the price that we saw exiting 2020. 
Trevor Turnbull: Okay. And then very last question just quickly with respect to the copper grades at Chelopech, obviously, the grade was coming in a lot lower than what you saw in 2020. And when we, kind of, look at throughput levels and guidance it implies to me anyway that the grades for copper at Chelopech should rebound pretty strongly for the balance of the year. Can you just talk a little bit about what your expectations are for the remainder of the year and those copper grades?
David Rae: Yes. Thanks, Trevor. We should be in the £9 million to £10 million per quarter range in terms of production. And, yes, we were low in Q1 primarily down to the grade of the material being treated. That has rebounded and is back at levels which we're confident we're going to achieve our guidance for the year. 
Trevor Turnbull: Okay. Great. And I'm sorry, just do you expect that grade to kind of continue to trend upwards throughout the year, or is it pretty much flat?
David Rae: It will oscillate. Some of the reasons why it was lower in Q1 is down to some sequencing that we changed. So basically, what happens is you move high-grade material between quarters when you do that not our preferred option but that's certainly something that happened in Q1. So you can expect a rebound on that in one of the quarters during the year. But I would – if you make the assumption that we're going to be doing 9 million to 10 million pounds a quarter that's a good number.
Trevor Turnbull: Fair enough. Okay. Thank you very much, David. Appreciate it.
David Rae: Thank you.
Operator: Your next question comes from Cosmos Chiu with CIBC. Cosmos, please go ahead.
Cosmos Chiu: Hi. Thanks, David and Hume. Maybe my first question is also on Tsumeb here. $960 per tonne cost in Q1 was fairly high, but I think you partially answered my question in terms of why you have maintained your guidance and you detailed that in your answer previously as well. But I guess, my question is simple mathematics tells me that, you need to average below $450 per tonne for the remainder of the year to get to your full-year guidance. Are you going to get there right away in Q2, or should we kind of factor in a gradual decrease through the different quarters?
David Rae: I would answer. There's certainly upside in continuity and consistency. Keep in mind that, we started before the end of the quarter, so we weren't coming into this quarter cold. So I would say at the moment we're operating a rate, which is very typical. We operated five quarters, if you recall at a rate around 63,000 tonnes per quarter. We're at that rate at the moment and that's the assumption for the balance of the year, in terms of what we can expect with those costs. There's certainly some upside on that. So that's why the range is where it is. If you sort of do the calculations, what you'll figure out is that, it's sort of 66,000 or 67,000 tonne per quarter average rate to get to the 220,000. And then the other numbers are more typical of what we've demonstrated over time. So we did have a close look at those numbers on costs, when we recast the production outlook to the new guidance and we were confident they were still the right ones to have in the market. 
Cosmos Chiu: For sure. And then, I guess we had talked about previously on free cash flow at Tsumeb. Could you give us a bit more detail in terms of what the free cash flow contribution was from Tsumeb in Q1? I'm just trying to get a more normalized number in terms of what free cash flow for the company would have been, if it wasn't for Tsumeb.
David Rae: Go ahead Hume. 
Hume Kyle: I'm just thinking about that right now. So we were certainly negative cash flow for the first quarter on Tsumeb, and that's going to turn around obviously in the balance of the year. So we had approximately what $20 million loss for the period. And we had sustained capital that was $10 million for the quarter, as well so definitely significantly negative cash flow for the quarter, but with no maintenance for the balance of the year. Obviously the next three quarters are going to be quite strong for Tsumeb. I would expect that, we will end up probably for the year negative cash flow in part because of the lower volume, but also because we're anticipating diverting more material that would have come from Chelopech to other markets. And as we talked about earlier that material is going to reduce the revenue from Tsumeb. On an overall basis, it's positive to DPM, but it does have a negative effect on Tsumeb. So I expect probably for the year, we'll be negative cash flow on Tsumeb predominantly because of the increased diversions and slightly lower volume. 
Cosmos Chiu: Of course. Got it. As you touched on the maintenance here, clearly, the 45 days of maintenance is behind us. But could you comment in terms of when the next sort of scheduled maintenance is going to be? And I think in the past, David, you and I had talked about a 12 to 18 month maintenance shutdown cycle. How does that kind of fit into this?
David Rae: Yeah. Good question. So with – we actually have this monitoring device which is fairly unique I think in these smelters. And we're able to track the projection of the timeline at which we bring this furnace off. That's a very useful device to be able to figure this out. And the reason why I say that, is that just to give you an idea of how we actually get confidence on where that timing should be. So we've demonstrated rates which could take us out to two years. We've operated for 15 months consistently now. Sorry, apologies for that. That was a truck on the outside still. Anyways, so for us right now 18 months is the sort of time line that, we're looking at and what we would do is we would plan to be ready in the event that we end up bringing it down in 15 months. And our ultimate goal is to get to two years.
Cosmos Chiu: Great. And maybe moving gears a little bit here. At Chelopech, you touched on copper production. I'm just wondering, once again as you talked about copper is going to be higher in terms of production and in the following quarters. But to think of it more – even more blue sky potential given how high copper prices have increased. Is there even more leverage in terms of what you can do in terms of exploring an even higher copper grade? I seem to – can you remind us in terms of what the copper grade contribution is? Is there ways of hitting some of those higher copper grade sections within the deposit?
David Rae: Yeah. So the ability to change mine plans according to the opportunity that's presented by any movements in price, it's certainly something we've had an eye to being able to do more, let's say more responsibly than what we've had than other mines would typically have. At the moment, I would say that, with the optionality, it's possible to do something. Obviously, we look at this. I don't anticipate anything other than we're going to get back to the normalized rate in the near term, but certainly something we can consider. If anything, the optionality would lead to more gold grades, rather than copper grades, the easy material to get. But one of the things that's coming this year in a piece of work that we've been doing over the last two years is, understanding better with a dynamic cost model what the opportunities are for the asset. One of the things that contributed to the increase in the reserves and resources was a different approach, so that is actually something that is helping us instead to go through a new initiative now, which I think will further refine. So what I was talking about, the ability to be able to respond to what we can see coming at us in terms of pricing environment. We're increasing our ability to do that. So anyway, I think, in short, in answer to your question, can we respond, I think, there are some options. It's more gold than it is copper, related in terms of the ability to respond like that, but we're increasing our capability to do it. I think, it's one of those where it will be an interesting ongoing conversation, Cosmos.
Cosmos Chiu: Yes. Great. Those are the question I have. Thanks a lot David.
David Rae: Thanks.
Operator: Thank you. [Operator Instructions] We have a following question from Ingrid Rico with Stifel. Ingrid, please go ahead.
Ingrid Rico: Yes. Good morning. I have a question on Ada Tepe. David, in Q1 the average mill grade was I think the highest in startup and much higher than the grade and the reason in technical report. How should we think about that grade? And do you continue to see some positive grade reconciliation at the mine?
David Rae: Hi, Ingrid. Yes, we are continuing to see positive grade reconciliation at the mine. It's not as material as it was earlier on, but it's still there. Certainly, potential for us to continue these types of grades. And as you know, one of the unusual factors with this particular asset is that, we have about double the grade in the wall zone than we do in the upper zone. And one of the things that we deliberately did here in terms of the ability to refine the production and the production profile for future years, is we looked at how we could access the wall zone material. At the same time, we were sort of accessing the upper zone in the early years. Now one of the complications that came from that and you didn't ask me this, but it may be something that you're interested in. We're running a couple of percentage points below the actual target on recovery. So even though the grade is high, the recovery is a little bit lower. And the reason for that is the wall zone material is much harder, so therefore what happens is that, you end up with this grind recovery relationship which offsets the sort of grade. So anyway still a positive reconciliation on the recovery. Yes, that grade is higher. It's actually not showing that it's going to decrease in the sort of immediate term, but I'd anticipate that's going to get back to more of these sort of expectation as we move through the future quarters. So there's some potential for that to remain elevated, but not at the level of Q1. And it's partly reconciled with affiliation and it's partly that we're just in a higher-grade zone and that's in part due to the mix of the wall zone in our business.
Ingrid Rico: Okay, great. Yes, I did notice that the recovery so that's good commentary there, David. Switching to Chelopech and also on the recoveries you mentioned on just the ore type. So should we expect that to be sort of the case toward the remainder of the year, or is the sort of blend going to be slightly different in improving the recoveries for the rest of the quarters?
David Rae: A little bit of a trade-off between grade and recovery. We're back to a more normal production level, as we've already indicated. There's still an opportunity for us to improve. In Q1, what happened was that we had a mix of things going on, so partly that was bringing in some newer ore bodies, in this particular case, orebody 25, which had a slight different flotation response than we anticipated. And actually summing up, we use some of the things that we've learned about Ada Tepe to help us control that. So that was a specific thing that happened in Q1 that I don't expect to repeat. We also have a situation where we needed to switch some of the blocks through were mining and that caused some differences in grade and recovery. And then, we had a mix in one instance of -- Block 19 where we had some build material coming in with the main production material. So all of those contributed to an unusual Q1. We're not anticipating that continuing. We still have some upside performance opportunity in recovery, but that's been compensated by grade. So as I was mentioning earlier on, we're confident that we're going to be able to achieve the guidance for the year.
Ingrid Rico: Okay. Perfect. Thank you very much.
Operator: Thank you. There are no further questions at this time. You may proceed.
Jennifer Cameron: All right. Thank you, everyone, for joining us today. We look forward to speaking with you again next quarter. And if you have any further questions, please feel free to reach out. Thank you. 
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.